Stephen Carter: Okay, well good morning, everybody. And I know we've got a few hundred people, if not more, on the -- joining us on the webcast, and thank you very much for joining. We're here today to report our 2022 Results, which in a funny, sort of, way shouldn't be new news to many people, because we did a pre-trading or pre-close trading update earlier this year. But actually there is quite a bit of news today. And so we're going to try and step you through it. And then in amongst the news, one of the special things we're trying to do today is to give the market a better understanding of our Informa Tech business. And so, sort of, halfway through the presentation between Gareth and I, I'm going to hand over to Max and Gary, Max Gabriel and Gary Nugent, who respectively run the Informa Tech and the IIRIS franchise and business and operations. To try and bring to life what exactly it is, we're trying to do with that business what we've achieved to-date. What we are undertaking to achieve in the next three years to five years, and then we'll wrap up and get to questions. So a little bit of news, an update on 2022, some guidance on ‘23 and a sort of special guest appearance from Informa Tech. So that's what's on the menu for today. So I hope it -- for those of you who've come in-person, I hope it makes it worth the trip. For those of you who are on the webcast, please feel free to file your questions and we'll pick them up when we get to Q&A. So this is probably the only slide that hasn't changed in any presentation we've ever given, so I'll go past that. And as I say, Gareth and I are going to do the traditional bit, and Gary and Max are going to add the spice and the excitement. I think when Rich and I were rehearsing for this, we agreed, I think we've used this slide enough times for most people to be bored by it, but it is worth dwelling on. This is the market that we believe that we face. This is the addressable market that we see our company competing in, in all of its guises. And as you can see on the right hand side, in those little Informa lozenges, we talk about some of the things that we do in order to be competitive and relevant for our customers and our markets whether that is specialist market research or open research or pay to read, route to market or whether it's specialist media providing lead-generation services or running live events are on-demand events, it's a range of services, all of which having come on thing which is the provision of specialist information. I've just had the pleasure of doing a round of media interviews since the early hours this morning, and inevitably a lot of the media questions are around, but what about the macro, what about the macro? And of course, the macro is not irrelevant to us. And we see the macro in our labor costs, we see the macro in customer demand in some areas, we certainly see the macro in some of the geopolitical changes. But the great strength of this business or the two great strengths of the Informa Group are: firstly, what it says in our mission statement, we champion the specialists, we operate in niche markets, we have specialist market positions, brands, subject areas, subject matters, market positions. And whilst we would not wish to have a consistently challenging macro, if you operate in the micro, you can still have a high performing business with a backdrop of macro challenges. The second great strength of the Informa business is we have very few single points of extreme weakness, that doesn't mean that we don't have challenges in lots of places, because believe me, we do, but we don't have $1 billion contract or a $500 million contract sitting somewhere that if it goes South, it flaws the company. And that means that this business is very able to weather extreme challenges and we know that to be the case, because we've just lived that movie. We saw 50% of our revenue disappear in front of our eyes and actually the company has come out of it stronger. And if there is one key message, I want to leave with people today, when you're thinking about the Informa company what you're looking at is a company that today is a better business than it was in 2019, not despite what happened, but because of what happened. Because during the COVID crisis, we did four things that were counterintuitive. We didn't fire anyone, we didn't take any government money, we invested in technology and we bought businesses. All of those things are rationale to do, but not when you just lost half your income. What's allowing us to come out of the COVID crisis in a stronger place is those decisions that we made. And that's what you see in our numbers, that’s what you see in our forward guidance, that's what you see in our rationale for the acquisition of the Tarsus business, and that's what you see in the logic that has led us to try and build the Informa Tech franchise. So the knowledge and information economy, that's where this business sits, it's where it competes, and it's where it's trying to be the best version of itself. In operating terms, we run the business through this way the Taylor & Francis business, which will come on and touch on creating high quality authenticated original thought peer-reviewed, validated and accessible. In any format that you want, in any way that you want and any contractual structure that you want, that's been a flexibility change and an attitude change that's been led by Annie Callanan and the team over the last four or five years on which we're leaning into more in product and service diversification. In our live and on-demand business, Informa Markets and Informa Connect. Informa Markets predominantly a commercial trade show portfolio underpinned by digital services. Informa Connect primarily high-quality knowledge-led conference product underpinned by digital services. The Informa Tech franchise, a business that when we launched it to an unsuspecting market in 2019, we described as an experiment, what we were trying to do here was to build a fully-integrated vertical business facing one market offering a multi-set of B2B marketing services and we've made good progress on that. And Gary will bring that to life. And then often forgotten over on the left-hand corner, a series of partnership investments. And in a whole range of businesses, some that we sold, but retained the position because we could see the value. Some that we own the majority of, but we've partnered, because other people have brought either capital or talent or technology and some because having a minority position suits us and improves our ability to learn and get better. What does 2022 tell you? Well our operating performance, I think speaks for itself. Our revenue up by over 30%, our profit is up by nearly 50%, our margin getting back up 2%, we're offering further margin growth and then a path back to circa-30% margins. At the end of GAP 2, our earnings per share up, combination of revenue growth, profit growth, and also the share buyback program. Strong growth in every geography in 2022 with the exception of Mainland China, and that speaks to where the opportunity is in 2023 and 2024, because we will see China return in ‘23 and ‘24. And importantly after six, seven, eight years of hard work by Ben Wielgus and our sustainability team, the second year in a row we come out number one in the Dow Jones Sustainability Index, we're ranking well in all the relevant indexes on our ESG performance. And in this world that matters for shareholders, it matters for colleagues, and it matters. And therefore, we've taken that seriously for a long-time. Our GAP 2 strategy, which we launched at the end of ‘21, really started to come to life last year. The first and headline move of that was the slightly counterintuitive decision to sell our intelligence businesses, our subscription revenue businesses in B2B at the end of 2021. We raised just over $2.5 billion of gross value from those businesses, whilst retaining two stakes, 15% in the pharma business and 20% in the maritime business. So future value to come from those retained positions. That's effectively allowed us to cleanse our balance sheet, remove our debt, it's given us the wherewithal to be able to make acquisitions. Last year Industry Dive, this year Tarsus, we still have a very robust balance sheet and we have the ability to deploy further capital, which we'll talk about. In Open Research, we are expanding at pace both in volume in and in volume out, but we're not changing the quality and that's the key proposition. It isn't a volume business, it's a value business, but it needs to be an agile business and a speed business and a more customer orientated business. And that's where we're deploying a lot of our investment. We've seen really strong growth in the performance of our live and on-demand business, and that's true generally I think and most people are in that business, but the strength of our portfolio is particularly distinctive both in Informa Markets and Informa Connect. IIRIS, I am not going to say much on because people tell me often, I steal their slides. So I'll leave Max to do that. But suffice to say, we started with a blank sheet of paper, in fact actually we didn't, we started with an outsourced contract with a third-party provider and then decided that was a bad idea and we do it ourselves. So then we did a blank sheet of paper and then we built it from scratch, and Max will bring that to life. As will Gary in Informa Tech. The balance sheet, I've touched on. Dividends are back. The forward position on the dividend should be attractive for those of you who are yield investors. And we think the balance is about right between the dividend yield and the investment for growth. And we're conscious about that. I know there were some investors for whom they are uninterested in the dividend and some investors, who would like the dividend to be higher. We're probably somewhere between those two and that probably means we're about right. But I'd like to put on record the Board's thanks to those dividend yield investors, who during the COVID crisis were willing to accept a zero dividend for two or three years, so that we could retain the value in the company so then bring it back. And as I said in one of the interviews I gave this morning, the thing that worked really well during COVID, the unsung hero was the capital markets, our shareholders actually stood by us during the Capital Markets. We didn't go to the government for money, we went to the markets for money. And the markets stood by us both by providing us with equity, providing us with debt and accepting a dividend sacrifice. We've upped the share buyback program. Those of you who were here in December 2021 may remember that we promised that if we raised $2 billion, we would offer $1 billion, I'm fond of saying that isn't actually what we said. I think what we said was, if we raised $2 billion, we would return up to $1 billion, because we wanted to wait and see if our cash flows would return at pace. Our cash flows are now returning at pace, and therefore we're -- I think confident to make that final step up to the $1 billion return. And that probably in depending upon the price of equity and the buy rate in the market should see our buyback program run through to the end of 2023. And we're using some of those retained proceeds to invest organically in GAP 2, in IIRIS, and also in acquisitions. Last year in NetLine and in Industry Dive, which between them cost us around $500 million, a circa 11 times multiple. And today, I'm absolutely delighted to confirm the addition of the Tarsus group. I'm making this presentation looking directly at Doug Emslie, who is the founder and father and creator of Tarsus, so I'm going to be very careful about what I say. But I think I can say, we've looked at trying to acquire Doug's business three times, and as his co-partner in life Neville said to me by email this morning, patience and perseverance pays off. And so we're delighted to have that business joining the Informa Group. And you can see the mass and I'll touch on that a little later. So that's the results from 2022 and where the company is. Looking at 2023 to 2025, which is the way in which we would like people to look at the company, really what we're saying today is that our first fully normalized year is going to be 2024. We had a bit of a debate, if you recall back in ‘21, ‘22, we had the existential debate, would anyone ever leave their bedroom ever again? Would anyone ever meet anyone in person ever again? We've moved past that. We then moved into when will this geography open, this geography open, this geography open. Our view now is that depending on what happens particularly in Mainland China and notwithstanding any existential macro threat, 2024 will be a fully normalized year for us and 2025 will be our first year out of GAP 2. The combination of those two things gives us a lot of forward confidence in the growth of the business. I'm really proud of this, so I wanted to put it on record, partly to say thanks to the team, partly to draw attention to the fact that we've put real operational work into this, energy supply, the removal of plastic, the way in which we do bundling and packaging and distribution, our use of print on demand, our approach to better stance, our approach to waste management, our approach to our contracts with our venues. This is an important area of our work, this is a weak link for any business and your impact matters and your ability to be able to stand behind your impact and look at your performance and not just parade your revenue growth and your profits, which we're proud of, but to be able to look yourself and your colleagues and your customers in the eye and feel confident about what your actual overall impact is in a world in which we live. There's still work for us to do here. The fullest expression of our fundamentals program as we call it and our waste management program won't come through to the end of GAP 2. But we're firmly on track to beat and meet our own targets. And our own targets are significantly more stretching than those that are being imposed externally, and that's the way it should be. GAP 2, where we're investing our organic capital is in these areas. Our ability to handle submissions volume particularly in open, our ability to develop our specialist media content, particularly in Informa Connect, the deployment of our partnering technology in our live events, our ability to make it easier for people to transact in multi-purchase payments, in IIRIS, in the power of our underpinning data warehouse, in digital service quality, in our academic business, in enhancing the live experience in smart events, so it isn't just a rent a booth, turn up and leave, experience in search engine optimization to enhance discovery and access in our research business, in the increasing use of video streaming, the platform we've built in our content business and in lead-generation, which is a market that we stepped into and we see real growth. All of those are recipients of our organic funding. Bit of depth on Tarsus for those of you who haven't seen the statement. My opportunity to tell Doug what a great business he has built. This business is very complementary to our business geographically and by sector, but most importantly of all, I think it's complementary culturally. I think when you're doing these acquisitions, the first question you have to ask yourself once you've looked at the numbers and done the due-diligence is, when you put these two things together, is it going to be one on one equals three or is it going be one on one equals 1.5, if you're lucky. The culture inside Tarsus' that Doug has built is very similar to our own, it's entrepreneurial, it's agile, it's very customer-focused, it's very close to its markets, it does that thing that you have to do to run these businesses well, which it never gets on stage in front of its clients. It's there to service the industries that you have the privilege of servicing. If you get that right, there's an annuity business in that. If you get that wrong, it could be over in a heartbeat. And Tarsus, I think has understood that for many years, and I think we've learned that. The financials on the right-hand side. We see some synergies, but we're not buying this business for cost. But we see some synergies and the multiples are slightly a function of the unique peculiarity of the Tarsus' portfolio, which is the high incidence of biennial product. So therefore, for those of you who are investors in it when it was a public company, you will know that it was a kind of blended year impact on their numbers, so you tend to look at it on a two-year batch. But straight off the bat, it will be accretive on earnings and it will return its cost of capital and it will be additive for revenue in this year. We're buying the business through a mixture of cash and equity. And the equity has got a little kink in it, which is, it assumes that for some reason people haven't worked out, that our share price should be above GBP8.50. But we're absolutely convinced that, that truth will come to pass within the next two years. And so convinced are we that we were able to convince the owners of Tarsus. And therefore they're taking a portion of the proceeds in our equity. And then because we -- Christmas comes twice a year, if you do deals with Informa, there's a little equity earn up, which requires the share price to be above GBP8.50, on the grounds that if we get there, there'll be no doubt that the Tarsus' portfolio will have contributed to that. So why shouldn't the owners of Tarsus' share in that. It's a Class 2 transaction in size, so we can crack on with it. There will be some legal administrative competition clearance, but we anticipate getting that done at a reasonable click. Talking to those colleagues, who are on the webcast, and I know there were quite a few from Tarsus and from Informa, the way in which we're going to manage this is through a combination program running through to the end of the year, three very simple objectives to deliver 2023, we've done a lot of due-diligence on this business, it's very back-end weighted, we're very confident in the numbers, but we don't want to mess it up. Secondly, we want to get -- we want to discover, we believe what we've been told, we believe what we've seen, we've had a chance to meet some of the people and indeed some of the customers. But nevertheless, you never really know until you're inside the machine and we want to do that in an informed way. So we're going to use the next period to make smarter combination decisions about the brands, about the markets, and about the talent. But we're going to combine these businesses. So from the first of January we'll be one company, it will be called Informa. We'll be one team; we'll be on one set of terms and we'll go to market in ‘24 and ‘25 as one business. But we'll take time to get that right. To help us get that right, because we like to think ahead, many years ago, we managed to poach from Doug a valuable colleague, knowing that five years later, we'd be able to return him with a new title, as the Chairman, Executive Chairman of Tarsus. So Mark, who I think is both liked and respected inside Tarsus and inside Informa will become the Executive Chairman of Tarsus through to the end of the year. The kind of last Governor of Tarsus if you like. And he will work with his team and the executive team that Doug has built in order to ensure that we do that combination as effectively as possible. I think we've got a high confidence that we know how to do this, and I think we'll do it well. With that note, I'll pass over to Gareth to take you through the numbers. Gareth?
Gareth Wright: Thank you, Stephen. Good morning, everyone. I'm going to talk you through a couple of slides on the 2022 results, to pick out some of the highlights from that, but also really talking about how we're using the 2022 results as a foundation to drive growth in the Group, both through the balance sheet in terms of the ability to grow organically and inorganically and also the balance sheet as a fuel for momentum in terms of the GAP 2 program that we're currently running with. And all the time, how we're then using that as a way of accelerating shareholder demands both in the buybacks and the ordinary dividends that Stephen has been outlying. So to kick-off, I'm going to pick out some of the headlines from ‘22 full-year results, which are on the screen here. Reported revenue increases by 33% year-on-year to just under GBP2.4 billion for the year, which represents Group underlying growth of 30%. This is driven by a 45% plus underlying revenue growth in the three B2B markets businesses and supported by a further acceleration of growth at Taylor & Francis. The strong underlying revenue growth comes from three main dynamics, I would say, the robust return of live and on-demand events in 2022 globally, excluding Mainland China and Hong Kong, a solid performance in our digital services businesses in the B2B market space, and further strength and growth in our subscription-led businesses powered by strong forward booked visible subscriptions. Adjusted operating profit increased 38% year-on-year to about GBP535 million, and underlying OP growth was 47%, running ahead of the reported growth. And these total Group results deliver our revenue and OP guidance for 2022 for the full-year and increase the OP margin from the continuing businesses by about 2.5 percentage points to around 22% for the full-year. The reported growth in the operating profit, together with a lower cost of financing delivers the 58% increase in adjusted earnings for the year to 26.4 pence per share. Our sustained focus on cash conversion and cash management continues to strengthen our balance sheet. Free cash flow increased to GBP466 million for the full-year, which together with the disposal proceeds, largely eliminated our net debt by the end of the year. The reduction in net debt, together with an improvement in the EBITDA, lowered leverage from 2.8 times at the start of the year to negative 0.2 by the end of the year. And I say negative because absent IFRS 16 lease liabilities we were in a net cash position at the end of the year. And the strong cash generation for the business together with the trading and our robust balance sheet gave us the confidence to accelerate the shareholder returns that we announced at the Capital Markets Day last year as part of the GAP 2 program. And in 2022 those returns are comprised over GBP0.5 billion worth of share buybacks, together with the restart of the ordinary dividends from the half year. So now focusing on the income statement for 2022. Total Group revenue was almost GBP2.4 billion and OP of GBP535 million produced a total Group operating profit margin of 22.4%. That's a percentage point higher than we reported at the half year, driven by the increase in return of events in the second-half of the year and we see further increases in the margin going forward as the business continues to scale and grow. Tying cost management remains a real focus of the business, particularly in this higher inflationary environment that we're currently operating in. However, we were also continuing with targeted appropriate investment in the business, both to drive the opportunities that we see through the GAP 2 program and to also consistently improve the experience for our customers at our live and on-demand events. But we think there is more to be had and more to grow into in terms of that experience. Net financing cost reduced year-on-year delivered by the interest receivable earned on cash proceeds from the Informa Intelligence divestments. And those divestments were also the main factor in the adjusting items where you saw the pre-tax profits of around about GBP1.7 billion coming through. The effective tax-rate for the year was 18.5%. This is a bit of an increase on the 17% we reported for 2021, because as the profitability of the Group continues to return and recover, the fixed tax deductions we get from our goodwill amortization and our internal financing are a lower benefit in the overall mix of the business, leading to an increase in that tax rate. And we expect therefore the ETR to be round about 19% in 2023. In the medium-term, we expect the ETR probably will tick-up a little bit more to around 21% to 22%, which reflects the several factors including the increase in the U.K. corporation tax rates that are coming into effect and also the OECD minimum tax proposals which were having an impact on a global basis. And then finally the non-controlling interest in ‘22 entirely represent Curinos in 2021. This was round about half Curinos and half our joint-ventures and events, which are mainly in China, but as those didn't run in ‘22, that wasn't a factor in year. However those will be a factor in 2023 as we expect those events to restart and activity in China to reopen. Now going to look at the results on a divisional basis and unpick the revenue in the OP a little bit more detail. In B2B markets and digital services, which encompasses Informa Markets, Informa Connect, and Informa Tech revenue, underlying revenue growth was 46% for the full-year. And this is where we saw the strong return of live and on-demand events throughout 2022, and we delivered around 87% of 2019 revenues on a like-for-like basis with more to come in 2023. And the demand has continued into Q1 2023, the events we've operated so far in the year-to-date mainly in Informa Markets and Informa Connect have showed a strong performance year-on-year. And we expect this to continue also into Mainland China and into Hong Kong, where we anticipate a progressive reopening in 2023. All of which we think across 2022 and 2023 demonstrates the value of the model to customers even in an increasingly digital world. At the same time as the benefit in the events, we're seeing increasing demand for digital services, underpinned by a deeper diversification of our services in this area. We saw a solid performance across a number of the non-event revenue streams, including strong ACV subscription growth in 2022 in Informa Tech's Omdia brand. And we've also used inorganic acquisitions to add to our capabilities in specialist content and audience development through the addition of Industry Dive. And also in syndicated content and lead-generation through the addition of NetLine. In Academic Markets & Knowledge Services, Taylor & Francis is delivering consistent and improving growth. Full-year underlying growth for 2022 improved to 3% for the full-year, delivering our upgraded guidance that we announced around about the half-year and tracking towards our 4% growth guidance that we envisage by the time we exit GAP 2. The drivers of that improved growth were good performance and robust performance in Pay-to-Read subscriptions, but together also with our important and widening expanded services offering across the business. All of which benefit from the GAP 2 investments through 2024 that we're making in Taylor & Francis. So for the Group, continuing businesses overall has produced underlying revenue growth for the year of 31% and underlying OP growth for the full-year of 47%. The next slide is a bridge from our underlying growth numbers to our reported growth numbers to explain for both revenue and OP, how they bridge and how the reported growth for the full-year is slightly higher than the underlying growth. And the key dynamic in that factor was currency, where the reported growth year-on-year benefits from a GBP0.14 strengthening in the average U.S. dollar rate in 2022, compared to 2021. And this has a greater impact on our profits than it has on our revenue, because a higher portion of our costs are in GBP, which do not strengthen with the movement in the U.S. dollar in the year. The effect of acquisitions and disposals was broadly neutral in the year as the impact of divestments that we made in 2021 on a reported growth were offset by the benefit of additions that we made in 2022 in the reported growth. And the year-on-year effect of phasing is immaterial, really because we're not yet at a stage where we're back to our normal cycle of up year down year biennial event operation, principally in Informa Markets, but we expect that to return progressively in 2023 and going forward. By the end of 2021, we delivered balance sheet strength and stability and flexibility, but we maintained our cash focus through 2022 to deliver this capacity for both accelerated shareholder returns and further growth and expansion through inorganic and organic means. This focus delivered free cash flow for the full-year of GBP466 million, a year-on-year improvement both in total free cash flows and free cash flows from the continuing business, which I think is worth highlighting, because the 2021 result was very strong in this demand. So, I think -- in this respect, so I think it's a great achievement from the Group and colleagues to deliver that year-on-year improvement. Our strong focus on cash management and cash conversion produced a working capital inflow in the year of round about GBP65 million, albeit the slide here has a decrease, because 2021 had an even higher working capital inflow as we saw the re-inflation of the events business following the restart from COVID. We increased our capital expenditure in 2022 in line with the GAP 2 strategy and our organic investment in that business. And our tax payable increased in 2022 simply as a function of the higher profitability of the business in late ‘21 and earlier into early 2022. But overall, this focus on cash conversion produced 117% conversion of operating profit into operating cash flow and it’s that acceleration that enables us to report free cash flow for the full-year of GBP466 million ahead of the guidance GBP440 million plus that we gave in early January. I think and going back just to think about where we were at the start of the pandemic where we presented in this room back in March 2020 at that point, we really pivoted the Group to have a key focus on our balance sheet strength and stability. And that focus has really continued over the couple of years since. And through those active choices we've delivered the position of balance sheet strength that we have at the year end. And that's really been choices around a relentless focus on cash conversion and cash generation, a real proactive management of our debt stack and our credit story and through really disciplined and strong capital allocation decisions made across the Group. The active choices that we've made since then really transformed our balance sheet. We've eliminated our net debt, it was almost GBP2.7 billion when we stood here at the start of 2020, it's now effectively zero before lease liabilities at the end of 2022. And increase of the elimination of our net debt together with the improvement in EBITDA has reduced leverage from 2.8 times this time last year to the negative 0.2 times at this year-end. But the key message really isn't about what we've done with the balance sheet historically, it's about what we can do with the balance sheet going forward. I think that's where the real opportunity is for the Group and that's what's really exciting. The ability to deliver targeted growth and expansion, organically and inorganically for the Group with the balance sheet and the ability to also at the same time accelerate shareholder returns through the increased share buybacks that we're announcing today and the restart of the ordinary dividends that we've confirmed during 2022. I will come back to shareholder returns in a bit more detail on a later slide. Our proactive debt strategy continues to deliver long-term financing flexibility in the balance sheet. In this February, a couple of weeks ago, we have finalized an extension to our revolving credit facility, which now expires in February 2026. The value of the RCF is unchanged at GBP1.50 billion, all of which is currently undrawn and the terms of the RCF are unchanged from those signed a couple of years ago, which I think in this current credit environment is a testament to the Group's balance sheet strength and credit story. If you stand back and look at the debt stack as a whole, there is a couple of things I would highlight. First of all, as we've said previously, now there are no financial covenants on this debt stack at a Group level. Our EMTN borrowings are entirely fixed-rate in nature. So in the current higher interest rate environment that's not an incremental cost to us, because those borrowing costs are fixed. However, the cash balances that we're running at the moment following the divestment in Informa Intelligence do benefit from the higher interest rate environment, and that therefore is giving us a benefit. And finally, our only short-term maturity is the GBP400 million there you can see, which in reality is EUR450 million of EMTN notes that mature in July 2023. And I think you'll agree that in the scale of our balance sheet, that sort of quantum of maturity is pretty immaterial overall. Turning to GAP 2 and a key element of the GAP 2 focus was the divestment of Informa Intelligence to focus on our two markets of growth and scale. And the divestment that will be completed in the year, it's just worth reiterating some of the highlights out of that, gross post-tax proceeds of GBP1.9 billion, an average EV/EBITDA multiple of 28 times. And then really demonstrating our capital allocation discipline as we recycle those high valuation multiple proceeds into growth opportunities in our other businesses. And also that disposal crystallizing a huge amount of value that we felt was hidden in our equity story. Stephen touched on these retained investments in his piece, I talked about some of the rationale behind our retaining those, which I won't go through again. But just from a financial point of view, it's worth highlighting those retained investments are relatively immaterial to our current revenue and OP numbers, but actually gives us a really good opportunity in terms of further valuation, upside crystallization at a later date when we exited those. And also give us another cash generation event, which we can through our disciplined capital allocation recycle into further growth opportunities elsewhere. So I think more to come from those stories, but worth keeping them in mind. In terms of shareholder returns, it's happened to come back to this, and the balance sheet strength and flexibility has really enabled us to accelerate these returns. Starting with the share buyback program, we've deployed round about GBP590 million worth of capital to-date since we started that. And that's enabled us to repurchase and cancel around about 100 million shares. And today we've announced the expansion of that buyback program from GBP725 million, up to a GBP1 billion, representing over half of the embedded value that we released through the Informa Intelligence divestment. And at current sort of rate and pace, I think that will take us through to the end of 2023 to deliver. We also delivered on our GAP 2 commitment to restart ordinary dividends, at the half-year we communicated a commitment to pay out 40% of continuing adjusted earnings, and that has delivered today with a 9.8 pence per share full-year dividend for 2022. But that commitment to pay out on continuing adjusted earnings is important because seeing as the Group continues to grow earnings both through our expansion program and also the recovery of events, that should enable shareholders to benefit from an increasing opportunity in terms of dividend. That's everything I was going to pick out in terms of the financial results. I'm now going to pass you back to Stephen.
Stephen Carter: Thanks, Gareth. Right, I'm going to go straight to this slide. So take yourself back to 2019, we were in a sort of similar-ish position, but a slightly different shaped Group. And one of the questions that we were debating internally was whether or not we had the license in our B2B business to extend our service offering to end market customers, B2B market customers in sectors beyond simply the provision a B2B event or event-services. So did we have a license to operate? And if we did, where might we pursue that opportunity? And we decided then that, without being judgmental about any other end market, that the most sophisticated end market customer within the enterprise technology and market. Partly because it's the ultimate horizontal, partly because they are very demanding buyers of these services and partly because they have significant budgets and therefore, they're frequent buyers of these services. Also through a combination of history and circumstance, we actually had a series of brands, products and services that operated in servicing that market. We had a research business, albeit a small one, we had some media properties, albeit slightly unloved, we had actually a good and quite distinctive event portfolio. And so it seemed to us we had the essential ingredients that might allow us to create a standalone vertical. And that led to the creation that I think I described at the time as an experiment in Informa Tech, could we validate that there was a market for us building verticals rather than just horizontal capability. So we launched that as a thought at the end of 2019, everything in life is timing. And I'll then hand over to Gary to, in a second, after Max to talk about what then happened. But what this slide seeks to highlight was what was it we were seeking to do? In relatively short order, one of the first things we realized was that in order to be taken seriously, outside of the event portfolio, you really needed to have -- you needed to have a data foundation. And whilst the events business is good at using data for sales and for customers and for forward booking and for space planning, actually it's relatively under-developed as an industry in using data analytics for profiling, for behavior, for usage patterns and for other buying needs. And that led us to the view that actually we needed to create a first-party data capability. And on that note, into Max.
Max Gabriel: Thank you, Stephen. Good morning, everybody. I’m considering there's a lot to cover in this session, I'm going to be brief, which means pay close attention. I'm going to answer basically three specific questions about IIRIS. How is IIRIS getting embedded into the business? Because, I know a lot of you asked that question to me last time. And it's the question we ask ourselves how embedded are we into the businesses? The second one, how are we doing in terms of our first-party audience data growth? Number two. Number three, how is IIRIS creating value into the business? And that's what I'm going to take you through in terms of the progress we've made with evidence. A bit of a context, Informa, as Stephen was alluding to, Informa, the B2B businesses have always been a rich source of first-party data. But we haven't been disciplined enough to collate them and curate them and actually analyze and translate them into products and services. So during COVID, Stephen and Gareth made a very deliberate choice as he was explaining to build proprietary data platform internally. For two reasons, one, we collectively believed, it's a strategic foundation for B2B services, and we want to control our own destiny. And most importantly, we want to get there faster as usual, that's the reason why we decided to do it internally. So where are we in terms of our adoption and getting it embedded? As of right now, when you consider all the specialist brands we have across events and the specialist media brands, we have over 90% of B2B brands contributing audience profile and behavior data into IIRIS. So incredible progress in the past 12-months. So, how are we doing in terms of audience data growth, the first-party audience data growth? Many of you may recall that was a baseline on how we started January 2022. We had pretty ambitious targets in terms of growing across audience interactions, which is really the behavior data, unknown audience, these are audience coming to our websites periodically, but we don't have enough information about them. But they are interested in our products. And then KEMA, which is known engaged marketable audience, which has become a sort of a singular metric where the whole organization has gotten behind. I thought we had ambitious target and huge credit to the team, the marketing team, commercial team, IIRIS team working together, we absolutely smashed our targets. We are about 1.8 billion in terms of behavior interactions and we'll see in a moment, how we are putting that to use. We quadrupled the unknown audience, which I know Gary and team are quite interested in because that becomes the part where we can start to systematically convert into known audience. And we've exceeded target on our KEMA as well. An interesting point to note when we added Industry Dive and Net Line, this was a hypothesis, as we bring in new businesses when you plug into IIRIS, is it going to enhance the value? And that's exactly what we’re seeing. It instantly started adding mutual benefit in terms of data quality and the cohesion, but more importantly, it is starting to add value. So very pleased with the numbers, before you note down, what is the ‘23 target, we're very pleased with where we are, because this is about -- I think the growth rate is very good. This is really about going deeper into and driving more engagement rather than growing the volume at this stage. So how are we doing in terms of creating value for the business? When we started the business, we had three -- when started IIRIS, we had three specific goals. Well first, we'll make it work for our own products, we better do that, otherwise all bets are off. We market our own products better and then in parallel market our clients’ product better. And the third one was a slightly harder task; you know harness the power of all the data insights and analytics we have to launch new products and services. Sometimes it's actually either to upsell to our existing customers. Our Informa Tech's case actually open up new budgets to new customers and we're doing both. Let's look at what we're doing around live and on-demand portfolio. We chose -- well there are many examples, we chose the best one. CPhI is the largest event in Informa Markets. And credit to this team taken a very data driven insights-led approach, they've been able to not only increase the attendance rate, but this time was the quality of the audience they got for the show. They were able to raise it significantly, this happened last quarter. And using the same analysis, they've been able to cross-sell digital products as well. And on the other side, Informa Connect, where Andy Mullins and his team pioneered in launching a lead insights product called Alchemy, which was launched in 2022, it's been delivered to thousands of sponsors, conference sponsors with great customer feedback coming in, and we're doing more in 2023 to create more value as well as continued to enhance the product. And then moving onto B2B services, which Gary will properly and well, I'm just going to tease you on what we're doing. One of the shining example on value amplification was Industry Dive. Just plugging them into IIRIS, which only happened over the past 90-days, Sean and his team have been able to add about 0.5 million new subscribers in the past 60 days to 90 days, the potential is pretty big here. And let me touch on Informa Engage and have Gary expand on it. Informa Engage is our internal marketing agency, who run all our client programs across media and marketing services, that brand is not on IIRIS yet and we're quite excited we're going to do that in 2023. Then we'll be able to impact our client programs at scale by end of the year. And the last one we're very excited about is NetLine, which is another recent addition to Informa, they've been analyzing looking at 1.8 billion interactions we've gathered to build a buyer intent product, which again Gary will unpack. So to recap, IIRIS is getting rapidly embedded into the business, it’s all about more rigor and discipline, we want the data to come in more real time than where we are. We are absolutely pleased with our audience data growth, it’s more about completeness of the data and improving the engagement of the audience, a third one we are seeing value enhancement, as well as amplification, which gives us boost of confidence to go after a higher ambition in B2B services. Speaking of higher ambition, I'll turn it over to Gary. Thank you.
Gary Nugent: Thank you very much, Max. Good morning, ladies and gentlemen in the room. And of course to all of our digital audiences out there. My name is Gary Nugent and I head up Informa Tech. And as Stephen reminded us, Informa Tech was established in 2019, and at that time it was really a collection of brands and businesses that we had amassed from across the Informa empire. Collectively, it all added up to about $300 million of revenue with about 60% or plus of that physical in their nature, events in their nature. And with relatively meager single-digit growth rates at that time facing off into what is the $5 trillion information communication technology end market, which in and of itself is growing about 4% to 5% on a per annum basis and is generally regarded as one of the most invested and sophisticated industries in terms of its marketing and spending on average about 8% to 12% of their annual revenues in marketing. I believe, I need to move this forward. Fast-forward to where we are today, Informa Tech in partnership with IIRIS underpinned by Max and the IIRIS team is a leading provider of specialist market insight and market access to the technology industry. Our run rate revenues are just over $0.5 billion as we run into 2023 and we are highly confident in our ability to generate double-digit growth rates over the next three-year period from this business with strong mid-double-digit EBITDA margins and improving over that period. Across the business we employ about 1,700 specialist in the market that we serve. They are truly global, over 20 countries, all the way from Melbourne through to San Francisco. And they produce one specialist market research business called Omdia, over 40 B2B media brands that serve the industry and 15 what we just gave is 15 event franchises that all cover the subject matter of business, technology and business and the business of technology. And collectively we command a known engaged marketable audience of over 6 million decision-makers and influencers within the industry, within the buy-side of industry. And it's through that audience that we fuel the products and services that we offer to the 3,000 plus clients that we have as a business today. So let me tell you a little bit about the market that we are leaning into and where that growth, we believe that double-digit growth is going to come from over the next three years or so. I mentioned earlier on that the tech industry typically spends about 8% to 12% of its revenues on marketing, and about 40% of that is external in its nature, and you can see here based upon service that we've done with our customers, how they roughly break-down that expenditure. Within our industry about 10% of that is actually spent on events. 14% of it in paid advertising, 16% of it in paid search, 60% of it, the lion's share of that budget is spent on what we call audience development and digital demand generation. Audience development is the activity of attracting audiences into your world, raising awareness for your brand, establishing thought leadership. And in the mean, that's done through relevant and engaging content that they put out into the marketplace. And demand generation, digital demand generation is all about feeding the sales team with leads. Now we've sized this market -- in the U.S. alone we've sized this market about $11 billion in 2021. About 60% of the market is actually in North America, but diversifying. 40% of the market is in tech ICT, but again diversifying. And growing at a compound annual growth rate about 10% to 15% per annum, so an attractive and growing market. What's driving that growth? Well, let me try to distill it down into, there are many things, but let me try and distill it down into three. The first is the rise of B2B marketing in general. I mean, you will not have gone unnoticed, that slightly differently from when I was a lad, a young salesman, 80% of our customer’s buying journey has already occurred before they pickup the phone to the sales rep. Their ability to research their problem, research solutions to their problem, research the vendors that can offer solutions to their problems, their ability to actually connect with peers and understand what their opinions are of those vendors and those solutions, online and digitally has only raised the importance of marketing and the mission and in the success of our business. And that means their budgets are going up. The second thing is the digitization of B2B marketing. In a digital world where you can test, you can learn in real-time, you can improve and you can readily report on performance and report on ROI, you can see more and more emphasis in that increasing B2B marketing will be placed into digital version of it. And then finally, the other growth driver that we feel is the market is leaning into as in our strength is the era of privacy and consent. No longer are marketing solutions built upon cookies and anonymous third-party data, there is no demand, they are built upon fully permissioned first-party audience data. And then the final reason why we think there is real growth to be had, this is still a fragmented landscape. And we have already -- we have marked over 55 players in this marketplace that only add up to about 70% to 75% of that $11 billion I mentioned earlier. And we believe that we have the right to compete and win in this marketplace and take a leading position in it. So let me tell you what we believe it takes to compete and win. We think there are five things that it will take to be successful in this marketplace. The first, which we've spoken about quite a lot is that rich and proprietary source of first-party fully permissioned audience data. And I mean, we call that Informa, all of Informa's businesses gather audiences and their activities. And then the second thing we need of course which Max has eloquently spoken about is somewhere to put that data, to cleanse it, to enrich it and to make it ready for use. And that is what we call IIRIS. The third thing that you then need is an engine that can analyze that audience data, and through that analysis create what the industry calls intent. Intent is really -- is simply trying to identify, who is in market for products and services, so that you can precision target your marketing activity. And so that no longer can the old marketing outage of 50% of my marketing spend is wasted. I just don't know what 50% it is. Then we need the marketing smarts, that's fourth bucket. The marketing smarts that are content marketing and the digital performance marketing capability that enables you to activate those audiences on behalf of clients. And then of course finally what we need is the brand and the marketing and sales that can take this proposition to market in a scalable way. And you can see along the bottom here some of the kind of data points that we have to -- that we've been, sort of, carefully buying and building or we in building up these five capabilities over the past two years. I'm going to talk just about two of them in a little bit more detail. The first one is that first box, the industry -- that fully permissioned first-party audience data, and of course I mentioned Informa has a wealth of this. But it is an asset that needs to be constantly developed. And Industry Dive is a perfect example of our investment in our audience development capabilities. And Industry Dive is a B2B media publisher that focuses in over 27 specialist industry markets. And it brings to the table an audience of business people, Chief Executives, Chief Finance Officers, HR Directors, Heads of Manufacturing, Heads of Marketing, Head of Sales, that complement the technology audiences that Informa Tech has traditionally brought to the table, Chief Information Officer, Chief Technology Officer, Data Scientists et cetera. And the reason why that is so important is we know that the decision-making and the influence is shifting to the business increasingly with the advent of cloud and the advent of Software as a Service. But not only is this a rich known and marketable audience, crucially it's highly engaged. 24% of this audience engage on a daily basis, 45% on a weekly basis. That is crucial as we look to complement what we would call profile data, demographics and firmographics of the audience with actual behavior of their content consumption and their needs and their wants and their desires, that's what gives you that key to precision targeting. And as Max has alluded to, we always knew when we look to Industry Dive that this was a great business in and of itself. The question of course was are we going to be good owners of it? And as Max has highlighted through that Sean and the Industry Dive team leveraging their access to IIRIS and the broader Informa audience data, we have managed to raise the subscriber base of that business by 15% in just a matter of 90-days. The second thing I wanted to focus a little bit in on was that third dimension of what it takes to compete and win. That ability and engine that can derive intent from all of that audience data. And again intent is simply the industry's word for figuring out whose in market and ready to buy now. And what we've been doing in that Project ABD is a product innovation from NetLine. NetLine is the company we acquired in December of 2021 and it draws upon that 1.8 billion transactions that Max mentioned that IIRIS is capturing on behalf of the business. Uniquely it will synthesize both offline data i.e., physical data of audiences engaging at our event with our online data. And integrate audiences from what the NetLine open publisher network to give us the ability to offer intent to customers in a self-service, self-provisioning and fully-integrated way into their client, into their workflows, into their marketing workflows, and into their sales workflows. And we will launch this product in the spring of this year. And as you can tell we are very excited by being able to put this stone if you like into the foundations of our B2B services business, because we deliver to the marketplace that thing we really need, the ability to target the right prospect with the right message, crucially at the right time when they're ready to buy. So, we, as Stephen said or as Max introduced, we have great ambition here, my ambition is that we take this business to be not just -- not a leading provider, but the leading provider, the number one position. And that we believe that we have the ability to do so by leveraging the assets that I mentioned and building up those five core capabilities. And I believe that you will see us consistently invest in this business and increasingly invest in that fourth dimension and the fifth dimension that I haven't actually spoken to. The dimension of our ability to build those marketing smarts, those content and digital performance marketing smarts that act to the audiences in front of -- and on behalf of clients, and that brand and the marketing and the CEOs capability to take this proposition to market. And we believe that over the next three years we can take this business to being a $1 billion plus business, three years to five years $1 billion plus business. And we will do that through strong double-digit organic growth in the business in and of itself, targeted acquisition and consolidation of this marketplace, and then crucially, I mentioned that the market is diversifying and its diversifying to where Informa is strong, and expanding these offers into those industries where Informa has a strong presence and where marketing is becoming increasingly data-driven and digitally-enabled. Thank you.
Stephen Carter: Thanks, Gary. Okay couple of final things from me and then throw it open to questions. So looking forward to ‘23 to ’25, this is really the shape of the Group. For those of you who used to our historical reporting, or used to talk about our Intelligence business, our Academic business and our Events business, really what we're trying to give people a sense of is, the way in which you should think about is our academic business our live and on-demand business and our technology franchise. Interestingly, our Technology business is now bigger than our Intelligence business. So our Intelligence business was about GBP360 million in revenue. In real terms, we sold about GBP80 million in profit. So if you're looking at the anatomy of the Group, what we've essentially done is removed one efficiently in terms of capital realization and then replicate it at a lower-cost, but with a higher growth rate, with improving margins and a better end-market and where we could actually be, if not the number one player, certainly one of the most significant players. Whereas in the specific information services markets, we were in, that was not an option for us. So that's the way you should think about the Group. I want to dwell, there's more data in the pack which I'll leave you with. I just want to dwell on this slide here, touch on this slide, sorry not dwell, touch on this slide very quickly, which is in the live and on-demand business this, I mean, we're delighted with the addition of the Tarsus' group to the company today, but we believe there's significant growth for us in geographic expansion and sectoral expansion. And we've just taken these two, Tahaluf which is our joint-venture in Saudi Arabia, Saudi Arabia is a very dynamic market, fast expanding economy, pace of liberalization, demographic of sub-80% of the population is under the age of 35, they're industrializing that economy at pace and we have a very significant partnership there, which is allowing us to really bring a very diverse portfolio of brands and services to the B2B markets in that geography, and that's a big economy. Equally in sectors, there are sectors where we can build portfolio positions. And here I've highlighted one which my colleague Alex Roth, who is sitting somewhere in the room has been really the thought architect behind this in the beauty sector. We've done this in partnership as is often the case in our business model here with BolognaFiere, who own the Cosmoprof brand. We're now working with BolognaFiere in Asia, in Europe, in America, we're a partner in their business. We now have a shareholding in their business, actually, I sit on the Board of their holding company. And it's allowed us really to take a leadership position in one of the most dynamic end markets and expanding end markets, high margins, international, very fragmented supply chain. I'm just using those two examples to say, it's great to do it by acquisition, but we can do it organically, we can do it by geography, we can do it by sector, as well as doing it by vertical expansion through multiple services. And we couldn't talk today without talking about China, because I'm sure it will come up in questions. Here is the way we think about China, everyone will have their own data points, everyone will have their contact points. Here is the way in which we think about it. In simple terms, what do we know speaking to you here today? We know there will be a progressive reopening in Greater China, we did not know that in November, we didn't know that in January actually. We know there's going to be a progressive reopening in Greater China. We now know that all cities have removed restrictions and domestic travel capacity is returning at pace. We know that the Hong-Kong-Mainland border is now open, we know that we didn't shrink our business, we maintained our business in Mainland China and in Hong-Kong in order that we'd be ready for that return. And we know that our customers are not disintermediated or being disintermediated from the product because actually the level of refunds demands from our deferred income in Mainland China was next to nothing. So we're carrying a significantly pre-committed customer base. We know all of that. We also know in our business, we have a back-end weighted portfolio, and I think broadly that's the same in Doug's portfolio, in the Tarsus' portfolio. Where would I encourage people to be cautioned. The bulls they want China to come back like this in the next month. Well, I'd be cautious that actually if any of you have tried to go to China, it's not as straightforward as it was pre-COVID. There are still some significant issues on traffic, on aviation capacity, on route capacity, on fleet capacity, the obtaining of a visa, which was never the work of a moment, is not straightforward. We are by definition operating in a shortened selling cycle, because we didn't know until a month ago that it was going to be open. So by definition, we haven't got a 12 month to 18-month sales cycle. Our events schedule has been disrupted, so it's bunched. The good news is we've used our scale to secure our venue capacity and locations, but nevertheless it's been bunched. And if you tried to travel anywhere, air travel is expensive. So there are some cautions, but there are some positives. We have absolutely no doubt, based on what we know today that 2024 is going to be a very good year for our business in China. The question really is how much of that will return in 2023? And based on what we know today, we've made some assumptions. I suspect in the Q&A someone is going to ask us, what is the number you have plugged into your model for China? To which the answer is, we're not telling you, because we don't know, right. But the judgment that we've made is that as we've looked at our overall business, the combination of the growth in academic, the growth in tech, the growth everywhere else in the world, the diversification in digital and the return of China, we're comfortable with where I'm going next. But here is a thought to leave you with. In the trade show business, the trade show is a beautiful thing, particularly for the manufacturing industry. In South China, which is the hub of the manufacturing industry in China or in the world. Someone told me once I was in China, 30% of the global manufacturing supply chain comes out of China. So, anything you've got in your hand, the chances are that at least a third of the component parts came from China. Now the world is changing, geopolitics, China and America are not as friendly as they used to be. But that isn't changing fast anytime soon. So when the manufacturing economy reopens in China, the trade show, which is a fabulous way, efficient, highly impactful way of bringing buyers, sellers, distributors, wholesalers, retailers together, we are very confident in our portfolio. And because the country knows it, in South China, there is 4 million square meters of trade show capacity space that you can buy, rent, package, and sell, it's a very attractive market. We just have to be patient to see its return, that's the thought I would leave you with. On guidance, this is what we're guiding for 2023. We're taking our revenue assuming six months of the Tarsus' business, we're assuming completion, worst-case will be July, might be earlier, but for the purposes of our modeling, we've assumed July. We've assumed within that, that means there is about GBP100 million of revenue and about GBP35 million of profit in our numbers from Tarsus in 2023. That gives us a revenue target of GBP2,750 million to GBP2,850 million, nobody will be happier than me if we beat these numbers. And the one number, I'd really like us to beat is the GBP2.9 billion revenue number, because that was our revenue in 2019. And that means we can get back in 2023 to being a bigger company than we were in 2019, having taken the Intelligence portfolio out, returned GBP1 billion to shareholders and be sitting with sub one times leverage we will be in a very, very good position for 2024. Our profits are slightly lower on a percentage basis, because we're investing, we're investing in academic, we're investing in IIRIS, we're investing in products, we're investing in talent, we're investing in people. We've done that through COVID, it will serve us well, it will serve our shareholders well and you will see our margins return in ‘24 and ‘25. But notwithstanding that, we're targeting to take our margins up by 250 basis points this year, knocking on the door of 25% and then we've got a route map to take that margin back up over the following two-years to circa 30%. The architecture of the business is the engine of Informa has been and remains our academic business, now firmly a growth business, becoming a more diversified business, becoming an intensely digital business and becoming a much more agile business. Our B2B markets position gets stronger by the day, we get better at that by the day, but there's work for us to do to improve the customer experience, we're further expanding our footprint by the partnership with Tarsus, which I think will serve us very well in the geographies in the sectors where we will combine. And we're building a world-leading franchise servicing the tech markets, where if you take Garry's numbers and you believe them, which of course I do, that business will be a fully-integrated multi-service business where the events element of that will probably in that billion number be sub of about 20% by 20 -- by the end of that growth period. That's what we're trying to build here. It gives us real confidence in where the company is, it's been a very tough and demanding three years for many people inside the company and for the many people who are watching it, I'd just like to say an enormous thank you for sticking with it, it's very good to see us coming back and coming back with strength. That's where we are. Let's throw it open to questions. Do we have microphones? Thanks, Cameron.
Q - Nick Dempsey: Yes, good morning. It's Nick Dempsey from Barclays. So first question, I think Charterhouse paid $850 million for the EV of Tarsus back in 2019, you are now paying $940 million. Obviously, we've had a pandemic in between, but Charterhouse have also done some things to improve that business. So can you give us an idea of what revenue they've added from acquisitions over that time and whether they've improved margins a lot over that time? Second question. Can we understand -- I'm going to try and ask the question about China that you predicted Stephen, but can we understand how to think about 150 million of deferred revenue in China in a normal year with the 150 million of deferred at this point, mean that you'd expect revenue much higher than 150 million or 250 million, 300 million or what kind of range would that normally point to? And then the third question, just looking at the Tech slides that you talked about, if you listen to Tech Targets, Spiceworks Ziff Davis et cetera, they think some of their growth will come from eating events in the Tech area. So, is there a chance that some of this good growth that you are chasing here will come at the expense of growth in your own Tech exhibitions, because if you can buy 1,000 leads with a high intent score, then why bother going to an exhibition?
Stephen Carter: Okay, well look, thanks Nick. Let's try and take those questions. I'll touch on your last question in reverse order, but leave Gary to think about how he might want to answer it. My only comment would be, well, they would say that wouldn't. On China, we're not going to give you a number, but you're correct to say that a large proportion of that deferred revenue will likely flow through, sorry deferred income will flow through as revenue in 2023. And the kind of question is, what will the top part be beyond that? And all we're really saying today is we just don't know; we just don't know. Do we have a high confidence that it will be there? Yes, we do. The portfolio we have in that market is not particularly dependent, pick a number, 5%, 10% of the revenue historically was international. So actually, the lack of international capacity short-term in 2023 probably won't damage us in 2023. But the relevance, even though it's a small percentage number of participation, actually the presence of international buyers is actually very relevant to your forward pricing. So actually the return of international participation is relevant to the value of our franchises. So I think, look, we will have our next market outing at our AGM in June, which is in June 15. I think, we'll have a good read by then of how it's returning. There is a phrase doing the rounds, I had a call with the China team this morning, there's a phrase doing the rounds in China called Fast China. And there will be plenty of people, who are more expert than me, I've been doing -- going to and from China doing business since 2000, so 23-years, I'm not an expert, but I'm not as young as I was in 2000, the year 2000 for sure. And do I believe that when the Chinese set their mind to something, this will be fast, compelling, commercial and agile? Yeah, probably will be. On Tarsus, I think since Doug sold the business to Charterhouse in 2019, there's been 11 acquisitions. Double-digit new product launches and quite a lot of organic investment in certainly the main Tier-1 brands and beyond. So it's really quite a different business from the business that was sold and then bought. And you would have expected us to have done due-diligence on that compare and contrast. So, I think we've got a high confidence that the business that we bought, which isn't to say that it wasn't a great business back then. I think we can say this now, we looked at it. But Charterhouse outbid us at that point. But on a pound for pound, pound paid for revenue that we've got confidence in pound paid for EBITDA that we've got confidence in, I think we're very comfortable in the decisions we've made to add it to the Group. Gary, do you want to add to the question around substitution or complementarity in product mix?
Gary Nugent: Yes, happy to assist you and I would say is, I just don't agree with that hypothesis, and it's really all about the marketing funnel and the marketing mix. If you're a marketer, your strategy is all about above the funnel, top of funnel, middle of funnel, and bottom of funnel. And in actual fact, you have to maintain momentum through your funnel at all times. And of course whilst events do have an element of sponsorship, which is about a brand awareness and thought leadership. Really that's all about bottom of funnel, middle to bottom of funnel pushing sales prospects down there. But as the market we are talking about is above the funnel and top of the funnel and pushing the audiences and pushing the markets down into there. So, I think it's -- I think that's sounds a little bit like referring thought you've got to is a seminar and everything looks like a 150 yards.
Stephen Carter: That's golf for those of you who don't play golf. If you've been on a golf course with me, I don't play golf either, but Gary does. Next question. Gentlemen here. And then see whether there are any questions on the webcast.
Matthew Walker: Thanks, good morning. It's Matt Walker from Credit Suisse. The first question is on like U.S., Europe. So, I think you showed some of the early events are getting to 95% of 2019 revenues, is that a good sort of place do you think the whole year will be for U.S. and Europe roughly 95% of 2019? Then the question is like with margins in Academic has gone down to about 35%. Do you anticipate it getting back up to the normal level of around 38% and when can we expect that to happen? And maybe some reflections on does it really fit with the rest of the portfolio and multiples in for Academic businesses are not very high. So is that one of the reasons why you're sort of sticking with it? And then, maybe on Tarsus, you've given a revenue number for ‘23, but can you say that was the biennial in Tarsus and does the revenue drop in ‘24. And what happens to margins in ‘24 for Tarsus?
Stephen Carter: I think we budgeted at 90%. I think that was our budget assumption for Europe and the U.S. on average. I'm looking at Gareth.
Gareth Wright: Yes. It's a range. I mean, 95% you say what it's done so far. I mean, some of the events, everything can get back to a 100%, but yeah, probably a range 95% to a 100% for 2023 versus 2019.
Stephen Carter: Yes. I mean, increasingly 2019 isn't becoming the benchmark that it was. I mean as time passes, for obvious reasons. But it's a fair question to ask and I would be being disingenuous, I didn't say, we didn't look at it, we do. But our average was about 90%, what have we seen in trading so far this year, we're beyond that. So, I think you would be reasonably safe in assuming that 95% is a sensible number, and if current course of speed continues. I mean, I don't know how many times I can answer the academic question. I think I've been asked it about 5,000. I mean, yes is the answer. Of course it is. It's a different business, for sure it's a different business. But I mean, the best answer I can give you is that, it's now twice the size of what it was 10-years ago. And it's a better business, not just a bigger business, and part of that is because, I think we've invested tactically and wisely and how to develop it and scale it. And we have sacrificed some margin for some growth. And we do see the margins coming back. We haven't pegged to a number, but you can't get growth without some margin sacrifice. And I think we laid that out reasonably clearly back in 2021. On Tarsus, it's a biennial year, I am going to look to Richard to guide me on this. And Doug can keep me honest. I think, the revenue in ‘24 will be less than the revenue in ‘23, but slightly connect your question to Nick's question, it will be less than you might think, if you were looking back historically, because most of the acquisitions are not biennial. Does that make sense, Matthew? Does that makes sense Doug? Yes. So there will...
Douglas Emslie: Growth in the business as well.
Stephen Carter: And there's been growth in the business as well. So, I think everything in life is timing. I think from our point of view. I mean A, when Tarsus was a standalone company. Doug will forgive me talking about it. The biennial change was quite dramatic because it was a significant portion of that revenue. For our overall portfolio being a much smaller percentage, so therefore the smoothing effect is not so negative. But if you're just looking at the Tarsus' portfolio and the way in which they developed it in the last three or four years, they've added more product, both new product launch, organic growth and acquired businesses, which actually takes out some of that biennial swing. So there'll be some of it, but not as much as you might think. If that answers your question. Anything you want to add Doug?
Douglas Emslie: No, that's right.
Stephen Carter: You don't have to say that.
Douglas Emslie: [Technical Difficulty]
Stephen Carter: That's what I meant. Next question. There's two questions here. And why don't we take the lady in the back of the room, because you're standing next to her, Cameron. And then we've got two questions up here.
Yulia Kazakovtseva: Yes, hello, Yulia Kazakovtseva, UBS. Thanks for the presentation. I have, I think three questions. So, the first question is on the guidance for 2023. At the mid-point we should expect about 165 million increase in EBIT this year. So, the question is how much of this expansion will be driven by organic growth, excluding China? The next question is on finance cost, can you provide us the guidance for 2023? How should we think about this? Is this just the cross that's multiplied by 3% interest rate? And the last question is on events in Shanghai. Can you confirm whether, you know of any trade shows that have actually run in Shanghai in the beginning of this year? And do you expect that the shows now scheduled for April will operate or will have to be postponed? Thank you very much.
Stephen Carter: Okay, why don't I try the last one. And then Gareth, you want to come in on finance costs and then the split in the EBITDA growth between organic, inorganic, and. On Shanghai, I don't know, I should know, but I don't, whether or not there has actually been any event of scale run in Shanghai. There have -- I know there have been in Shenzhen, for example. But I don't know whether they have in either of the two venues in Shanghai. So that's just a simple, I don't know. Are we confident that both venues in Shanghai will open and will trade for our event calendar? Yes, we are. And [Technical Difficulty] they are both significant venues and indeed they're adding capacity in Shanghai. So, I think we feel pretty confident that, that will return to being a major venue. And that whole kind of arc Shanghai all the way around to Guangzhou and Shenzhen and Chengdu, and then Hong-Kong, Hong-Kong is obviously different because it's an international market. The licensing regime that they put in place during COVID has effectively been unwound. So now it's a much more straightforward application and venue slot by location. There's no sort of central overlay. So it's becoming more agile. But I just don't know the specific answer to Shanghai question, we can find out pretty quickly for you. On finance cost, Gareth?
Gareth Wright: So I was to get back to the first one, which is on the guidance. I think what we're saying there is if you look at the deal we've announced today, the 2023 benefit or impact of that should be around about GBP100 million worth of revenue and about GBP35 million worth of OP in year, slightly depends on the completion date, but we're envisaging round about 1st July in terms of getting through the competition clearance processes that we'll need to run in that business. But that gives you some idea of the amount of inorganic growth that we're thinking about in the numbers. In terms of our underlying growth, you have a full-year of Industry Dive already in the comparative, so the underlying growth will have adjusted for that already. But not withstanding that as we talked about in the guidance slide there, we're looking at strong double-digit growth across the B2B markets businesses even with Industry Dive in the comparative. And that's how we're thinking about the guidance for the rest of it is all organic. So the number of your question outside of those two factors there. On the financing cost, it's a bit complicated, because you've got the borrowings, which are fully fixed at around 3% in terms of what goes through the P&L, a bit lower in terms of what we pay out in terms of the cash. And then you've got the cash balances that at the moment net off against the borrowings take the net debt down to close to zero, as I said in my piece earlier. And that at the moment you're earning a couple of percentage points of interest at the moment. So depending on how we deploy those cash balances, you can see that the -- if you look at the gross of the two is what you need to do is, do the math, you can see probably the effective debt is a 1% to 2%, probably in terms of the cost to carry on it overall. Probably depends how we use the balance sheet in 2023.
Stephen Carter: Happy? Great. I saw some other hands up here, all along here. Cameron, there's one other one here if you want to hover close.
James Tait: Thank you. It is James Tait from Goldman Sachs. Thank you all for the presentation, and for your super informative and providing some good insight into the business. I've got two questions please. First on the more traditional exhibitor fees you charge for your events, how should we think about the impact of price increases that you're putting across for 2023 and '24? And how you're currently looking to price the events you're doing this year? And secondly, could you provide some color on how that sort of more traditional high margin ancillary revenue has been tracking in the first couple of months of 2023. Have you seen an improvement versus last year or are you seeing an impact from the macro? Thank you.
Stephen Carter: Well, thanks for saying thanks, particularly for the team to help prepare it because as you will know, there's a lot of work goes into these events. On exhibitor fees, I mean, the way to think about pricing is we -- going back to what decisions did we make during COVID, we made a decision during the COVID sort of return that, it probably didn't make sense for us to increase our prices on the grounds that if you haven't had a chance to sell anything to a customer for a year or two years, probably the first conversation, you don't want to have is, it's great to welcome you back. And by the way your price has gone up. And by and large I think that's served us well. But there's absolutely no doubt that it's put a little bit of suppression on our revenue and our input costs have gone up and you see that a bit in our margin. So we need to return to pricing. And so you will see us in ‘23, going into ‘24, you will see us return to pricing. At the same time, we've been investing organically in the business to improve the product experience, so that when we return to pricing, it isn't just a simple the price has gone up, it's that the product is better and there's more value and therefore what you're buying is not the same and therefore that should make that conversation easier. That's easy for me to say in a presentation like that, but thousands of people in the company have to sell that story in a way that customers find compelling. But that's the logic, and I think the logic will stand. I also think in truth, the value equation for participants in an exhibition remains very compelling. And the economic return on investment is extremely high. On our -- if by ancillary revenue, you mean, digital services, other services. Yes, they are in growth, we are seeing growth in that. And we are adding new and other services around certainly our bigger event franchises, and we do see that as another source of revenue growth. So when Gareth talks about the double-digit revenue growth ‘23 on ‘22 and ‘24 on ‘23, some of that's pricing, some of that's returning volume, some of that is other services.
Steve Liechti: Good morning. Steve Liechti from Numis. Just to follow-up on the pricing point, can you give us at this point, a sort of ballpark figure to work off on pricing for ‘23 and maybe into ‘24 if you want to be brave. Just a rough number, that's the first question. Second question is, if you look at the Tech business, you've got lead-generation, you've got content marketing, are there any other obvious sort of digital services that are missing within that sort of from an M&A perspective? And then the last question is, the multiple that you've paid-for Tarsus is will be on an average basis, because of the biannual, it's about 10 times. From your perspective, is that the sort of new norm in terms of the industry multiples given historically, it would probably be, let's say, 12 times to 15 times pre COVID?
Stephen Carter: What number have you given for pricing for next year?
Gareth Wright: [Technical Difficulty]
Stephen Carter: Right, well that means I am in a unique position of being able to answer a question without being guided by Richard for guided REIT controlled.
Gareth Wright: If only that were the case.
Stephen Carter: I mean, look, our view on kind of generic cost of living is somewhere between 4% to 6%, you see that in the way in which we have tried to keep our colleague community whole year-on-year for anyone earning under 150,000, our cost of living rises circa 6%. So how do we think about price and value? We think about 6%, 4% to 6% is a standstill number. But to get beyond that, you've got to be offering more value, which slightly goes back to James's question about how do you do that. But that's kind of how we think about it. On Tech, I mean, Gary can talk to that, he's got a long shopping list of things that he would like to add to the franchise. I think at the top of that list we will probably put activation services will probably be certainly in the top three. But Gary, do you want to add?
Gary Nugent: Yes. I mean certainly if you think about the marketing funnel in the middle, and certainly there is the opportunity for us to build out the services in the top of the funnel, the middle of the funnel, the bottom of the funnel as we described in, we call that activation services and we'll certainly look to build that out. I would also say in there, in that, there is this notion of account-based marketing where you're actually bringing to market the ability to reach the consortia that is making the decision, not individuals by joining up all those dots, that's an important trend in the market. And then actually, I would see, what's above and what's below, right, we talked about our specialist market research business, which is actually really all about helping customers understand the market they are in, understand their competitive position of the market that they're in, how fast is it growing, how big is it, who are my competition, how do I get there? So, I think we'll build out there. And then the very bottom of that funnel is what I think the industry is calling sales enablement. Actually, moving into services for the sales people, and as much as who then pick up the ball from the marketers effectively. And that's really where you'll see us build out. Hopefully that's clear.
Stephen Carter: I told you; we got a long shopping list. But I think the premise of what we're trying to build, I mean, you see it more clearly in B2C marketing services. And I think one of the key things that, I mean, Gary said it, I'm not saying, he glossed past it, but because it's quite specialist subject, B2B marketing services is becoming a much more sophisticated and much more competitive area. And there is an opportunity to differentiate yourself there. Whether we go into ABM, whether we go into the full depth of sales activation, whether we go into every aspect of sales enablement, but there are buyers there looking for services, looking for products. And if you can be a provider and you've got the data to enable that, there is a market to chase. And that's why we're going after it. That's the way we think about it. On multiples, who the hell knows. I mean, I think it depends whether you're buying a portfolio, whether you're buying a spot business. I think it depends on what the business is. I think it depends on which stage of the cycle is that. I think it, almost always depends upon what the owners are looking for, what motivates them. But there's definitely been a sort of a slight reset. In the nature of these things, I mean, you know this business as well as I do, it seen as a late-cycle business. I mean, where are we sitting, you know, we're sitting here talking about where are we versus 2019, are we 90% or 95%, how fast will China. What we're trying to do today is to get people to look forward to ‘24, ‘25, we'll be a 105%, 110% of 2019, once you put pricing in, in other services. I mean that's our bet. And I understand what's behind next question and why people would say it, but there's zero market evidence, zero market evidence. We operate in 27 verticals of scale, there is zero market evidence of disintermediation or lack of booking desire, participation rates are returning, pricing is returning. There's new capacity coming onto the market, and what tends to happen is that the multiple lacks, so that will -- will that return back to previous levels? Who the hell knows. But what I can say is, we feel we've paid a fair price for a great business. And we think that business will be a bigger and better business in another two or three years. Nick?
Unidentified Participant: Thanks, Stephen. This is [Nick from Altimus] (ph). As a shareholder, owner partner with Informa, we ask you to prove your resilience and emerge from the pandemic stronger, more on the front foot with momentum in the business, and you're clearly doing that. So, thank you on behalf of our investors. And well done, keep it up. No pressure. Got a specific question for Gary, and thank you very much for the additional detail this morning. And the specific question is about user interface. And how you are reaching into companies and working with them and what the price is potentially of becoming embedded in the workflows that creates different dynamic and characteristic, the launch pad and the opportunity to create more value over time with more visibility on both sides. So, could you maybe elaborate a bit more on your reach into partner companies please?
Gary Nugent: Well, if I may, just I think there's three dimensions to that. I talked -- alluded to self-service, self-provisioning and then integrating into the workflow. And obviously self-service and self-provisioning is enabling the marketer to actually buy and schedule their marketing activities by themselves with little or no involvement of ourselves. And so that's very much part of the kind of product roadmap. And then the last part I think is what you're alluding to is that, how do we integrate into the customers work flow? And of course, that's about our ability to integrate directly into whether it's their marketing automation or it's their sales enablement platforms. And you'll see when we launch for example, I talked about project ABD in that spring launch, we already have integration into some of those downstream platforms and we have a roadmap through the rest of this year that will see us continue to integrate into those downstream platforms. And you know what they are, they are the Salesforces, the Markets, the eliquis, the hub sports, the lofts of this world, meaning, these are all the kind of standard platforms into which we know that we have to build relationships with and integrate into.
Stephen Carter: Thanks, Gary. Any questions on the webcast, Rich, you want to take. Anyone on the open call who would like to ask a question. Yes.
Operator: Thank you. [Operators Instructions] And the first question comes from the line of Sami Kassab from BNP Paribas. Please go ahead.
Sami Kassab: Thank you and good morning, everyone. I have two questions to you. The first one, [Technical Difficulty] recently for its exhibitions margins to revert close to pre-pandemic levels this year. Your guidance suggests that you're still a long way off the 34% Informa Market had back in ‘19. So, can you elaborate a little bit on the relative margin trajectory of Informa Markets, does it mean that you're investing much more than your main competitor is, does it mean you have costs -- you have taken less cost out than they have or does it just mean you have a lot of upside on your margin guidance? And the second question is on Informa Tech. We had quite some depressing headlines from big tech in terms of layoffs, we had the TechTarget warning in terms of marketing spending from big tech. And yet today we had a very bullish narrative from your side. So, can you help me reconcile your view with perhaps pressure on big tech marketing spending? Thank you, Stephen.
Stephen Carter: Thanks, Sami. I mean, I'll talk a little bit on the second and then let Gary come in. On the first, I mean, I don't think it's ever really our place to comment on other people's businesses, other than to say, and I hope colleagues at [Indiscernible] will forgive me. It may say Reed Exhibitions and Informa Exhibitions, but they're totally different businesses. So, it's really very hard to make a comparison, I understand in the world of comps, it's an easy thing to do and there is some relevance. But the pre-COVID margins were not the same by some margin. The business mix is not the same by some margin. Our future ambition in that business is quite distinct. And we're building our business to do a multiplicity of different things. And we're also being measured. We have a much, much bigger business in China than Relex do. China is a big market for us, it's fullest expression, if you put the Hercules -- sorry, Hercules is the code name. I knew that was going to happen once. It's a good job it was only Hercules, imagine if it was something more embarrassing. If you put the Tarsus' portfolio together with our portfolio in its fullest expression, that was probably a 400 million business. And so, there are quite a lot of deltas that would make it different. The question I would ask you to think about, Sami related to that isn't what is it today, what's the snapshot today, but where is it going to go to, and do we think our business can get back to being a circa 30% margin business overall? Yes, we do. It's really just a question of timing and making sure that when we get there, it's sustainable rather than it's a moment in time. I would say on the -- on Gary's presentation, I hope it wasn't just a bullish narrative. It was a bullish set of numbers. I mean that business did double-digit growth this year, and we are proposing to do double-digit growth this year in 2023 with margin growth. So, it wasn't just a narrative. But Gary do you want to, without being comparative to other companies, give your view of why we have confidence in our growth track.
Gary Nugent: Yes, I mean certainly well firstly, I did mention at the beginning, I have actually been in the tech industry for over 30 years. I mean from -- and for most of my career, I was actually a customer of the sorts of things that we do. So, I've been through many cycles within in. My observation yes, there are -- there is a bit of chop in the marketplace at the moment. I think most of that is about correct -- I would describe it as a correction as the tech industry got a little bit over its skis through COVID. But I don't see anything that is getting in the way of what you describe as that inexorable. growth and rise in the industry, there are far too many demand drivers there to think that. And most of it, I mean our observation is that most of it is as the -- is about laying off human capital as they got a little bit over their skis, that's creating a little bit of chop in the decision-making and the influence processes that settles down, but budgets are pretty much intact, and in particular budgets for middle to the bottom of the funnel because you always have to feed the sales organization, and the strong companies view times like this as an opportunity to take market-share. And those with confidence are doing so. So as Stephen says, we have looked at this extensively, and I'm still confident in our ability to deliver that double-digit growth that we are commenting.
Stephen Carter: Any other following question on the call?
Operator: Next question comes from the line of Omar Sheikh from Morgan Stanley. Please go ahead.
Omar Sheikh: Yes, good morning, everyone. Just a couple from me please. Firstly, on Tarsus, you've in your synergy target, you -- I think it looks like most of the synergies are cost-related, are there any revenue synergies that you would highlight as well. I'm just thinking about perhaps leveraging the investments you've made in IIRIS and NetLine into the assets that you're buying with Tarsus, that's the first question. And then secondly, on leverage, you're going to, I think pro-forma for Tarsus and the buyback you're going to be around one times levered. What's the long-term plan here, are you still targeting as you were pre COVID 2 to 2.5, is it less than that or is it in line? Thanks a lot.
Stephen Carter: Thanks Omar. I'll take those. I mean, yes, you're right, I mean, as I said, I think we didn't acquire the Tarsus' business and we're not seeking to acquire the Tarsus business for the synergies, but there are synergies there in technology, in venues, in property and real-estate in I think some other services, general contracting and we've put a number around that. Do we think there are revenue synergies? Yes. I think in some sectors we would probably point to aviation and health and industrials. I think those would be the three were we think there are revenue synergies. And the Tarsus' business has got a really powerful labels portfolio that will sit very, very well alongside our industrial portfolio, particularly actually in Asia, in China, to go back to China. So, I think there were some revenue synergies there. I think there were data synergies. I hope, Doug will forgive me saying this. I think we can gather the data from the Tarsus business, harvest it and capture it, recycle it and repurpose it. And we certainly intend to do that. And I think that does lead us some opportunities in our other markets. And Gary was sort of alluding to that in his presentation. So, I think so we just haven't put a number on that. So, we would hope in the full years that were ‘24 and ‘25 there would be some revenue synergies there that we could capture as well as some data synergies. I think our mass mutuals are the same. If the numbers end up where we're guiding and hopefully a bit better, we'll be at sub one times levered. That gives us a balance sheet that's both robust, which is not a bad place to be given that we are living in a slightly unpredictable world right now. And I don't think there's any harm in just being in that position for a while just to see what happens during 2023. But on a going-forward basis, we would use our balance sheet. And I think our historical approach to leveraging up and then deleveraging fast, if you've got good cash management discipline, and that was part of the reason why Gareth showcased what we've operationalized, again a bit of a COVID beneficiary, if you can call it that, is we've become really very tight on cash management. And I think you have to look at those two things side-by-side. How do you use your balance sheet efficiently and how confident are you in your ability to use your cash flows to get that balance sheet back to where you want it to be. So, I think that's the way we would think about it. We haven't actually put a hard number out. I don't think I'm -- again I'm looking at Richard that you know will it be 2, will it be 2.25, 2.5 or up to 3, I think when we get to that point, that will be a Board discussion. And -- but you're in the zone. Next question on the call if there is one.
Operator: The next question comes from the line of Silvia Cuneo from Deutsche Bank. Please go ahead.
Silvia Cuneo: Thank you. Good morning, everyone, and congratulations on the acquisition. My first question is on Tarsus and their portfolio. So, when the group was public, we remember them doing over 150 events with an exposure more weighted to emerging markets and a strategy focused on replicating successful formats. Can you please talk a bit more about how these have evolved in the past few years and whether the Group can still grow faster than the average for the industry in the medium-term? And then just secondly, regarding your plan to integrate the business within this year given you expect completion at some point in July, that sounds like a third period of time. So will be helpful if you could remember us how long it took to integrate, UBM obviously with a different case, but just for reference, what is that you need to integrate and that would be helpful. Thank you.
Stephen Carter: Thanks very much. Good questions. I mean, you're correct. I think historically pre-COVID, our view was that we would try and grow faster than market average, 5% plus. And we see no reason to change that. I think the good news, if you are an investor in our company is that, you're going to see growth in ‘23, growth in ‘24, and hopefully accelerated growth in ‘25. And I think it will be interesting to see where the new market settles. But I see no reason why we could not meet or beat that ambition because by then A, we'll have a bigger portfolio, it will be more distributed. Generally, and this isn't by accident, we're facing out against the economies that are in growth, the Middle East, Africa, China, SouthEast Asia, America, North America, South America, and to a degree Europe, and to an even lesser degree, the United Kingdom. And so, we've made very conscious choices about where is GDP growth, and therefore if we want to grow at GDP-plus, it's probably better to be in markets where GDP rates are 1% because then that delivers you the growth you want. So, I think we feel we're pretty level set for that. On combination, you never quite know. I mean, these are talent businesses as well as brands and data and contracts and marketing skill, there is talent. And part of what you're acquiring is talent. I mean as a factual matter, I think the UBM combination program took a year from beginning to end. And then 18 months to two years to fully realize the synergies. But we were really looking for significant cost synergies out of that. We took I think nearly 100 million out of that combination in cost synergies. So, you're right to say, it was a bigger scale. But I think we've got it right, I mean, I'm not going to say, I think we've got it wrong, am I? But I think we've got it right in -- we were being measured about this combination. We're not rushing to get it done fast just so that we can tick some grand chart that says, here's how you should do it. If we get to completion by July and we're actually slightly hopeful, it might be a bit earlier if the competition process is smooth, which we will hope it will be. And I think it's a very collaborative discussion between us and the owners and the management of Tarsus'. And we would hope we would be able to enter 2024 as one company in every sense of that. And if we can do that, it will have taken six months, and I think that will be good, that will be good. No more questions on the line. Anyone got a final question in the room? I'm leading the audience there. So well, listen. I hope you found it useful. I hope you've learned something about the company and our ambitions. Nick, a very kind comment. Nick from Altimus, very kind comment, not that the other Nick didn't have kind comments too. Or indeed anyone called Nick, but I remember when Richard and I, Richard Menzies-Gow and I first did a -- meet the shareholder tour together, which is nearly a decade ago, in fact more than a decade ago now, we went around to see all of our then shareholders, and I remember going back to the Board with a report back, so what did the shareholders tell me? And I said, well essentially there were three findings. The first finding was, we've never made any money out of your stock, what are you going to do about it? That was finding number one. Finding number two was, we didn't really understand why Informa exists? Can you explain what the strategy is? And finding number three was, and by the way, who the hell are you? I hope in 10 years, we've made some progress. Thanks very much everyone.